Operator: Good day and welcome to the Summit Wireless Technologies Third Quarter 2019 Update Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to Mary Magnani with LHA Investor Relations. Please go ahead.
Mary Magnani: Thank you, Michelle and good morning everyone. I would like to welcome you to Summit Wireless Technologies’ third quarter 2019 update call. Please note there is an accompanying presentation posted on the Summit Wireless website in the Investor Relations section. With us today is Summit Wireless CEO, Brett Moyer and CFO, George Olivo. Also with us today is Tony Ostrom, President of WiSA. Before I turn the call over to Brett, I would like to remind everyone of the Safe Harbor statement referenced in the SEC filings. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for certain forward-looking statements, including statements made during the course of today’s call. Statements contained herein that are not based upon current or historical facts are forward-looking in nature and constitute forward-looking statements within the meaning of section 27a of the Securities Act of 1933 and Section 21e of the Securities Exchange Act of 1934. Such forward-looking statements reflect the company’s expectations about its future operating results, performance and opportunities. These forward-looking statements are based on information currently available to the company and are subject to a number of risks, uncertainties and other factors that could cause the company’s actual results, performance, prospects and opportunities to differ materially from those expressed in or implied by these forward-looking statements. For a more detailed discussion of some of the ongoing risks and uncertainties of the company’s business, I’ll refer you to the company’s various filings with the Securities and Exchange Commission. Now, it’s my pleasure to turn the call over to Summit’s CEO, Brett Moyer. Please go ahead, Brett.
Brett Moyer: Thank you, Mary. I would love to welcome all investors and potential investors to the call. First I would like to introduce George Olivo who joined us as CFO. He will be at the LD Micro Conference in December and at the Investor Happy Hour at CES. For those who would like to meet him. Welcome, George. Do you have any comments before we get started?
George Olivo: Thank you, Brett. I appreciate the opportunity. I would just like to say I am very excited about the category. And since joining the company I have been very impressed with the level of customer engagement both in terms of quality and quantity. And I am looking forward to helping the company grow.
Brett Moyer: Alright. Thanks, George. So, today we have some new as well as existing investors. So, we are going to do a brief update in terms of the market, our technology and the WiSA adoption. But the main meat of this call is to go over the second wave and the broad wave of products that are being introduced last quarter, this quarter and at CES. It’s pretty substantial and we are going to spend a fair amount of time on that, as well as the enormous investment our partners are making to promote WiSA when they launch their products. So with that a quick update. The market opportunity for us is all the smart devices that exist ultimately, whether it’s a phone, a tablet, a PC or the TV. They are all great pictures, thin, poor audio and no way to get audio, yet they all stream a lot of video, a lot of sports, a lot of e-sports and gaming with multi-channel content. So, you have rear sound, ceiling sound for Atmos, front sound. So, the consumer has a problem though, how do they get that sound out? So, our mission is to make sure it is very simple for the consumer to get multi-channel audio into the room, be immersed in that action and deliver it so that we can have a great entertainment experience. Now from a technology perspective, there is three critical features that Summit Technology enables in WiSA. When you have video you want to hear the action at the same time, so there is low latency. Second, when you have more than one speaker in a room, if it is two, eight or any number in between all those speakers have to play in the audio at the same time you see it with low latency, as well as being synchronized to the same audio sample. So, that’s the second key critical component to our technology. And the third is simple. It is a plug and go setup for the consumer. You plug two, six, four, eight speakers or soundbars or a combination in and in the front of the room is an HDMI cable or a USB dongle and you are up and immersed in audio watching your action. So, that is the corner of our technology; for new people, feel free to reach out to me afterwards. I can go deeper obviously, but those are the three critical components. Now WiSA and we have the President of WiSA on the call, Tony Ostrom, has more than 66 brand members in it, but these are the critical ones we are focused on right now. These guys are either TV partners or partners that are about to launch product or have launched product or have soft launched product in the case of Savant. We have not announced certification yet, but they have soft launched it a month ago. So you will see more news about these folks coming up shortly. But if you think about the brands here, you have LG, one of the top consumer electronic brands, you have Harman, a division of Samsung, again top consumer, you have got TCL, the largest TV brand in North America by unit shipments, you have got Sharp which is owned by Foxconn, Eclipse, Bang & Olufsen, Savant. So there is a lot of Tier 1 brands in here, THX, Xbox, supporting WiSA. Now initially, if you go back pre-IPO, so 1 year, 1.5 years ago, the first phase of innovation with WiSA was Bang & Olufsen speakers and TVs. You had Klipsch media hub with Klipsch speakers. You had an Axiim Q and then a 4K support, which is a media player and their speakers and you had an Enclave home theater in a box, powerful solutions, but very limited in terms of breadth. If you fast-forward to now, this quarter and with the product announced last quarter, this quarter the transmit side is very extensive. So, let’s – and the transmit side is important because that gets the audio from that smart device to WiSA speakers. So, whether it is WiSA Ready TVs like LG’s OLED and NanoCells, whether it is pre-amps, media centers, USB dongles, HDMI dongles, streaming boxes, all of these are certified or about to be certified and they are in market or are about to be in market this month, next month. So, when you think about just going from a Klipsch hub and an Axiim hub to this broad list, the transmit capabilities have expanded quite a bit in the last 6 months, speakers even more so. And what’s exciting about the speaker solution is it’s not only expanded, but it’s – you are seeing second and third-generation products come out, you are seeing lower price points across a wide range, not only premium audio but mid-tier audio brands. Now we are not going to go through each one of them, but I think what’s really important when you look at the progression of speakers is the progression is to come out first with a premium audio and then move to a substantially lower price point. And you can see this multiple times with this new lineup of speakers. So, Harman’s product, the Citation speakers, you can either do it with towers or a soundbar, is roughly $5,000. The one we just announced a week ago, the Harman HK Surround is $2,500, so half price. If you look at Klipsch’s original Reference Premier speakers, they came in at $5,000, the ones that they launched last week in partnership with LG at Best Buy is more closer to $2,700, $2,800. Again, about half price. If you look at Axiim, so they have some premium speakers that go with their Q media center, with their Axiim Puck for Xbox, they are looking at bringing out and having it on their website as coming soon, an $899 solution using a Puck for Xbox, so more than half in price. And then our price leader and soon-to-be probably our largest customer in volume, is Enclave Audio. They initially launched a product in Phase 1 at $999 that went down to $799, so they are adding CineHome II and the CineHome Pro at $999 and $1,495. So, when you look out what Platin Audio is going to do, Axiim, Enclave, we now have four product offerings all different, all targeted to different markets, below $1,000. Now that price point is when volume starts moving. How does it compare to other products? We put two here just to give you a quick reference. Certainly people can go out and pick a lot of references, but if you look at the Sonos 5.1, they are sitting in the high $1,600, $1,700 for a simple soundbar in rears and a sub. Whereas you can see there are five products under them and I would argue probably all five sound better in the room. Not that they do the same thing around the house, but certainly give you a better audio in the room than that product. Look at a simple mid-tier Bose soundbar 700, again, just under $1,000, but it’s just a simple soundbar. So, when you look at the range of products being offered, the pricing is lower, it will get WiSA products distributed in different categories and more retailers as these products roll out this quarter. And then finally, when you look at penetration – so there is a lot of retailers, but these are the retailers that our customers are having success in. There is the mass-market, there is buying groups, these are generally regional stores that are one to 25 storefronts, and then there is custom installers. So, Best Buy we have talked a lot about in the last couple weeks because of the Klipsch and LG partnership launch there. But they have ultimately 1,000 stores. We do have customers that are working with Costco and hopeful to have promotional opportunities with them next year, which is another 1,000 storefronts. And those are driven by LG and Klipsch and Enclave, Savant and Harman, right, our Tier 1 customers. And the buying group again, this is a group that represents rent to own, rents all the regional dealers, there is about 14,000 storefronts in those groups and Klipsch and Enclave and Harman are all dominant there. Now the custom install, so these are small shops or individual people that come in and help design home theater solutions. That’s where a lot of the other premium brand audio solutions are sold when you look at EC Living and some of those brands. But in total there’s about 3,000 of them that are active with Cedia and Best Buy’s install group and we have customers, the same customers have presence with this channel. Now that’s the core expansion, but probably what’s the most exciting in terms of this presentation is what Tony is going to talk about. These partners are introducing and putting an enormous amount of marketing effort behind WiSA and their products with WiSA. And so, I would like to turn the call over to Tony so he can talk through what’s going on in the channel in terms of building the market, building WiSA’s brand and WiSA’s presence. Tony?
Tony Ostrom: Thank you, sir. As Brett said, I am Tony Ostrom. I am the President of the WiSA Association. And while we are still bringing new members on board, and we are still certifying new products and working with them through that development process, one of the most exciting things that we are seeing currently happening is, to Brett’s point, a significant investment from our members in marketing, training and merchandising products that have been certified and are coming to market. And historically we have seen brands do this independently with their own unique solution for a consumer and at their own retailers that are part of their retailer base. Now what we are seeing is a true category approach. We are seeing members work together, we are seeing retailers that understand the category and are providing merchandising areas for these members to participate and actively build this wireless home audio category. These are exciting. And a great example of that on this slide is what we have seen recently rollout across Magnolia Home Theater stores within the Best Buy organization. And if you are picking a retailer globally to start this initiative and really put a great first step forward, it would be Best Buy and Magnolia Home Theater and they are participating at a very high level. And the brands that are doing that in this particular opportunity are LG, Axiim and Klipsch speakers. So, we really couldn’t have asked for better initial partners. They have worked together to put this display concept together. They have worked with the retailer. And they are really bringing their products to market as part of a category and showing how they interoperate and a premium TV company with a premium electronics company and a premium speaker company working together to say, look, we are in this, we buy in, this makes total sense, this is in the best interest of our consumer. We want them to have this great experience and we are working together to show you how easy, simple and amazing it can be. And that’s following in our footsteps as we laid the groundwork with a lot of retailers, buying groups, the media, the press to establish with this category could be. And to see them come in and own their part of it and work together is a huge amazing step for us. And to see that happening at Best Buy has been just awesome. And that rollout is happening in real time. It has happened over the last few weeks. But something this monumental has taken a couple of weeks for them to get in place and now that we are seeing it come to fruition it’s pretty exciting for us. The support behind all this is also pretty amazing. So if we go to the next slide we see how LG is supporting the initiative and the category on their own website. So, if you go to lg.com and you search for an OLED TV or a NanoCell TV in their premium TV categories you will see one of their banner ads, which they have three, four, five banner ads per category, one of them exclusively talks about WiSA and how they are implementing WiSA Ready into all of those TV lines. So, beyond that and beyond them talking about WiSA and the benefits and how they are implementing it, they have a buy now; and that buy now button takes you to Best Buy’s website. So, a lot of working together between brands, between brands and retailers with a cohesive marketing approach to really show their customer the benefit of the category, the benefit of the technology and where they can go buy it and how it all interoperates, so huge for us to be on LG’s website and to get that level of exposure and also for them to send you directly to a call to action to participate in a purchase experience. On the next slide, you see something similar on Klipsch’s website, so again, a very cohesive marketing approach. Our brand is well represented, their brands are well represented, the products look great. And they are co-marketing, again, with LG and with Axiim. They are partners in this particular initiative. But it could be anybody that is WiSA Certified. And Klipsch is showing WiSA front and center on their website. They have educational videos, they have multiple different system configurations laid out that are all WiSA certified. They all include the Axiim link. They are available at Best Buy and the promotional opportunities with TVs and things like that are also things that can manifest because of all this because you can get the same story of all these different consumer touch points, these consumer facing touch points. So very cohesive and very well organized. Branching away from those particular brands, on the next slide you see one of the Harman European stores, their experience stores, heavy promotion on the Citation line, which the Citation home theater products are WiSA. If you look right in the middle of this you see several Citation products again front and center within that experience. They are investing a significant amount of money in telling that story as well. And that obviously in this particular venue elevates our brand and elevates what we can do if we are the front and center technology in something like this that just gives us all kinds of credibility. And we are seeing a lot of interest coming from that part of the world as well. Obviously, LG and our other partners are significant and we have some speaker partners that are even stronger, to Brett’s earlier point, in that part of the world. So, we will see significant investments from them and our participation in building out the category on a global basis. The next slide shows heavy participation from members at trade shows. This is one example to Brett’s earlier point, Savant, which is an extremely well-established brand in the custom integrator segment in consumer electronics. So, bringing people into your home to install something realizes that control and simplicity can coexist. And so, they are doing a very good job of implementing WiSA into their first smart audio products centered around the soundbar. They announced this; they did a soft launch at the Cedia show 1.5 months ago or so. And we were all over their displays, in their presentations. We were front and center as a technology. We were one of the first things they mentioned in their presentation because they see the advantage of control, but then the simplicity of install. And so this is an example of them, again, a consistent message telling what WiSA does the benefits to the consumer at a tradeshow and then that follows through into all their consumer facing marketing outreach as well. On the next slide you see some additional tradeshow captures. This is at a different tradeshow for one of the largest buying groups in the world. This is at a nationwide show. On the left, that picture with the OLED TV with WiSA sound is actually taken in the LG booth, so LG on an outward facing part of their booth in the main cross-section of aisles. As you walked into this trade show, on one side you had LG and on the other side you had Klipsch. And those first two pictures are those systems. So, LG wanted to, not only on their website, not only at Best Buy, but at a major trade show, major buying group trade show had a very prominent display again bringing other brands in. So, they had their TVs front and center, but then they had an Enclave Audio system and an Axiim link transmitter that were all displayed in their booth. And then Klipsch very similarly had that same display we saw at Best Buy earlier underneath an LG TV with their system at that same trade show and had significantly positive responses as this was one of the first times they showed that new system outside of CES at a trade show. And then on the far right we have some experiential demos done by Enclave Audio with some of their new systems as well. And these are systems that are going to be coming out and being certified still this year. So, we have some things that are in the market, some things that are going to be in the market very soon all represented at these shows and all showing a very similar approach and very similar story and it was just a great experience. On the next slide we are seeing what some of these members have done as far as trying to get the message out not only to their internal teams but to retail teams and even to end-users. We’ve seen a significant amount of training videos, product videos and just straight up marketing videos being created and, again, telling that same story of convenience, simplicity, high-definition sound, and making it easy to have a great immersive experience in your home. This Klipsch video is more of a consumer facing video. The Savant video is kind of a crossover. It is for some of their internal teams and their install base, their custom integrator base as well as consumers. And then the far right video was originally a video developed by LG’s training department talking about the benefits of WiSA and how they are integrating it into all of their premium TVs, but it’s now available on YouTube. These videos are coming out to the extent now where WiSA has its own YouTube channel. And we are also in the process and we’re probably about a day or two away from having a video gallery live on our website because it’s such a great way for us to have these brand evangelists. Not somebody with a WiSA T-shirt on, but somebody with a brand you know already and have maybe an affinity for presenting the benefits of WiSA and why they chose to integrate it and how it works with other brands and kind of cross promoting it for us, which is absolutely fantastic. And then finally we just have a list; it’s becoming easier and easier to find WiSA and to purchase WiSA Certified products. And I actually removed some products off of this because we have some things that are in development. And so, I wanted to pretty much load this with places you could actually go and find and learn and purchase right now. This list will continue to grow significantly. Our website reflects all the products as they are almost certified and then certified. And we are in a time right now where we’re seeing a lot of new products coming to market and a lot of products being available. And to Brett’s earlier point, we’re seeing a lot of those at more velocity price points, which is outstanding. And it’s just a very exciting time to see all of our members really working together and Tier 1 brands, Tier 2 brands working together to build the category. Again, what we initially saw was brands loving the technology and implementing it into their own system. And now what we’re seeing from brands, from retailers, from buying groups and in the media is an understanding that this is a category movement and that it’s being, the participants are cross category, whether they are TVs and sources, gaming, speakers, transmitters. And they are all singing the same song and they are all giving the same marketing message and participating with retailers to build the category together, which is extremely powerful for us. And that’s been a huge transition over the last year or so as everybody has kind of seen where this is going. And now those products that we were starting to develop back then are coming to market. And so this is a really exciting time for us to see how these guys are bringing all these things to market with training and displays. And one just kind of anecdotal story which is a great way to end this is somebody at one of our speaker brands was at a different major buying group at an event, a training event and said they were already trained on WiSA. And the people that were coming in to their training, and this was Klipsch, had already been to the LG training. And they said by the time they got to us they already know about it because LG had told them. And so, for me that’s a very powerful message because it means all these guys are on board, telling the same story together and working together to build the WiSA category.
Brett Moyer: Alright. Thank you, Tony. And I will note that both these video clips and the where to buy or learn more clips are live. So, if you download the presentation you can click right through. Finally, a couple slides in terms of wrapping up where we are. So, looking forward, you can look forward to more speaker brands launching their first product. We haven’t talked about them today, they are not public and they haven’t soft launched. But that will be – you will see that continuously through the next two quarters. And very exciting is you will see the next WiSA Ready TV brand launch. It will support 8K video as well as it will have TVs that have or do not have internal speakers. So, if it doesn’t have internal speakers, that means it needs a WiSA dongle of one type or another and to connect to the WiSA speakers for audio. So, we are actively working with them. The projects are in design both the dongle, the speakers and the TV. So, you will see that next year as well as others. Then from a WiSA activity, there is two things coming up that you can look at. First of all, the technical steering committee has been created at WiSA for integrating the IP that Summit is developing, which would go onto soundbars, TVs, phones. And second, the current WiSA standard supports eight speakers, and those eight speakers are defined as a 7.1 surround sound. And Atmos has ceiling sound. So, all we have to do is to find those speaker types so that when a transmitter sends a signal it knows that it’s going to the left front up or the right rear up speaker for an Atmos configuration. So, you will see us announce supporting that. And finally, probably the most exciting for both the investors and the management team and the employees is going way beyond the 1,000 storefront footprint that we have to reach thousands of stores and multiple brands in a store. Now scaling, so in the end how do we scale and do we have it to scale? Our thesis is from today’s call is when you look at the product offerings, whether it is USB or HDMI or dongles or hubs or receivers or TVs or game consoles or PCs, the product offering is there to get audio to WiSA speakers. If you look at the investment, we have Tier 1 brands investing heavily in new products and, most importantly, promoting WiSA as they launch those products. And finally, we have price points and solutions that will go mass market that are appropriate for the Best Buys, the Targets, the Costcos of the world and that includes not only North America but Europe and Asia as well. And so, before we open up the call for questions, I just would like to remind everybody that the first day of CES we will have an Investor Happy Hour from 6 to 8 at the Venetian Suite 29238 that’s our show suite. We will see new TVs, new products, etcetera. And with that, operator, I would like to open up the call for questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from Daniel Carlson with Tailwinds Research. Please go ahead.
Daniel Carlson: Hey, guys. Thanks for taking my questions and congrats on all the progress you have made. The first question I had for you in today’s announcement you talked about a TV manufacturer with no speakers and requiring WiSA speakers around it. So, I am just wondering if you can talk about, are you putting a transmitter chip in the TV or can you use the existing Wi-Fi chips in those TVs with different software on it, how does that work exactly?
Brett Moyer: It would be a WiSA Ready TV and it will use an external dongle.
Daniel Carlson: Okay. And is there….
Brett Moyer: Just like LG now has WiSA Ready TVs with an external dongle.
Daniel Carlson: Is there also a need to see it embedded in the TV without the dongle in the future, is that something on your roadmap?
Brett Moyer: It is. That’s the key point around developing the IP licensable version. TVs generally do not have the pricing power to embed a chip of our nature into it. But so first is WiSA Ready formats, second is IP licensing into the TV market.
Daniel Carlson: Got it. Okay. And Tony, I think this is a question more for you possibly, but when I look at the – I am a believer that wireless speakers is the future and Sonos has done a good job with the whole house, but certainly not with the surround sound systems. Are there any companies that you are working with that support you guys in surround sound that are looking at a whole house solution that integrates your product into that?
Tony Ostrom: Yes, a few of the systems that have been – we have been integrated into and a few of them that are coming out are kind of cross-functional in nature where they have chosen one of the multi-room audio solutions for that purpose and they have chosen us for the single room multi-channel purpose. And really the technologies that are available to do whole house, to your point, aren’t really suited to do something around a video screen due to they are multi-channel – lacking multi-channel capabilities or their ability to their definition, they may not be high enough definition. Typically their latency isn’t where it needs to be to not have some kind of lip-synch issues and we have all those things solved. So, we have seen a couple that are taking a different technology for that multi-room purpose, but then integrating us.
Daniel Carlson: Well, specifically you have got Harman’s soundbar with Google Cast for streaming music, right, Harman is using Google.
Tony Ostrom: Yes. The Savant system does many different multi-room control – has multiple different multi-room control features, but they chose WiSA as the single-room solution because we just meet all those criteria and exceed all those criteria where others may fall short.
Daniel Carlson: Got it, okay. So basically when you look at these guys like Magnolia who are doing custom installs, they can integrate this into the whole house with no problem on one app controlling everything, right?
Tony Ostrom: Well, yes, because if you look at it, we are basically – at the end of the day we are a wire replacement and it seems like I am oversimplifying it and I am, because what it takes to be that really good multi-channel wire replacement is actually extremely complicated and that is why no one else has done it. But at the end of the day whatever signal they can’t get to the transmitter, the WiSA Certified transmitter can go to all the WiSA certified speakers in that room. So, look at us as a node in that whole home chain. So, whatever you can get to the theater we will take care of broadcasting it to all the speakers. That may be any service through any multi-room technology, whatever we get in we will broadcast back out to the WiSA speakers in that room.
Daniel Carlson: Got it. Okay. And then, Brett, you talked a little bit without any numbers here about an exciting part from an investor standpoint which is getting out there and selling more of these products. The Best Buy rollout is awesome, but what are the next steps to accelerate revenue? And is there a chance we are going to see a 7-figure, which in my mind is an inflection point for the stock possibly, a seven-figure revenue number to Q4?
Brett Moyer: Yes, so let’s just take the first part. The inflection part is really these product launches. That’s why we focused on them today. When you start rolling out $800, $900, $1,400 high-performing products into retail that’s our inflection and I think that’s all there. Now on the given week and the given month that’s all unfolding rapidly. It’s within our abilities to have a 7-figure quarter. We are not guiding or committing to anything until we see how the rollouts occur this quarter.
Daniel Carlson: Got it. That’s it for me. Thanks guys. I appreciate it.
Brett Moyer: Thank you.
Operator: [Operator Instructions] We will take our next question from Ed Woo with Ascendiant Capital.
Ed Woo: Yes, thank you for taking my question. My question is on the price point, how low do you think you could get these products down in the next couple of years? Do you think we could see sub $500?
Brett Moyer: So I think on the current hardware solution you will see promotional offers in the $599 to $699 range. I think the point we are trying to drive with the next generation IP is to be able to get below $500. Now that’s talking as a 5.1 solution, but there are offerings that will come out as 3.1 or 2.1 that can today go under $500 and some of our partners are looking at those configurations to be launched.
Ed Woo: Great. And then in terms of just initial response from consumers as we head into this holiday it looks like the consumer is relatively strong. What are you hearing from some of your partners in terms of their displays out at the retail stores like Magnolia, Best Buy? What are they saying about their expectations for just holiday?
Brett Moyer: Yes. So, I was in a Magnolia store near my house in California and the sales person stepped away, and I might have searched WiSA on the browser on the computer screen. It turned out to be the training system for Best Buy. And here were a list of comments that were all from people who just took the WiSA training course that they had and it was all fabulous. You would see like awesome, can’t wait. There wasn’t one negative comment. There was a lot of enthusiasm around there. So, that plus the response by the press since CES I think indicates where the consumer will be. It’s really just down to blocking and tackling execution by the speaker brands and our partners to get this rolled out.
Ed Woo: Great. I know we are heading into CES last year was a big announcement year for you. I know you probably don’t want to disclose anything, but should we expect similar type of announcements this year?
Brett Moyer: We expect to have a very active PR calendar over the next 6 months.
Ed Woo: Great.
Brett Moyer: Yes.
Ed Woo: Thank you and good luck.
Operator: And we will take our next question from Kevin Cornelius, Private Investor. Please go ahead.
Kevin Cornelius: Thanks. Yes, good morning. Exciting times certainly it sounds like. My question is more along the lines of what kind of volume or possibly market penetration numbers would you look at to really start to move the needle for Summit as a company? Clearly you have got early adopters coming in, but have you guys gauged as what kind of market penetration or volume are you going to need to really make the financial move happen for the company?
Brett Moyer: So, the answer is yes, we have gauged it. There is different metrics that we can look at. So we have had a presentation out there that looked at WiSA Ready TVs, but there is a simpler one, Kevin, I think that if you just think about 20 million soundbars, we picked up 5% of that volume we would be in the $40 million revenue range quickly. So, we like soundbars, we love the soundbars that have WiSA in it particularly. But we think having discrete speakers around the soundbar, both in front and back, gives a much better sound. So, that would be the easiest metric to gauge in terms of penetration. 5% of the soundbar market makes us a $40 million to $50 million company in 10,000 foot level analysis.
Operator: And there are no further questions.
Brett Moyer: Okay. Then I would like to thank everybody for participating in the call today. Look forward to seeing you at either the conferences or particularly at CES where you will be able to get a good cross-section of products being launched all in one meeting. Thank you.
Operator: And this concludes today’s conference. We thank you for your participation. You may now disconnect.